Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter 2024 Vicor Earnings Conference Call. I would now like to turn the conference over to Jim Schmidt, Chief Financial Officer. Sir, please go ahead.
James Schmidt: Thank you. Good afternoon, and welcome to Vicor Corporation’s earnings call for the fourth quarter and year ended December 31, 2024. I’m Jim Schmidt, Chief Financial Officer; and I’m in Andover with Patrizio Vinciarelli, Chief Executive Officer; and Phil Davies, Vice President, Global Sales and Marketing. After the markets closed today, we issued a press release summarizing our financial results for the 3 months and year ending December 31. This press release has been posted on the Investor Relations page of our website, www.vicorpower.com. We also filed a Form 8-K today related to the issuance of this press release. I remind listeners, this conference call is being recorded and is copyrighted property of Vicor Corporation. I also remind you various remarks we make during this call may constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Except for historical information contained in this call, the matters discussed on this call including any statements regarding current and planned products, current and potential customers, potential market opportunities, expected events and announcements, and our capacity expansion, as well as management’s expectations for sales growth, spending and profitability are forward-looking statements involving risk and uncertainties. In light of these risk and uncertainties, we can offer no assurance that any forward-looking statement will, in fact, prove to be correct. Actual results may differ materially from those explicitly set forth in or implied by any of our remarks today. The risk and uncertainties we faced are discussed in Item 1A of our 2023 Form 10-K, which we filed with the SEC on February 28, 2024. This document is available via the EDGAR system on the SEC’s website. Please note the information provided during this conference call is accurate only as of today. Thursday, February 20, 2025. Vicor undertakes no obligation to update any statements, including forward-looking statements, made during this call, and you should not rely upon such statements after the conclusion of this call. A webcast replay of today’s call will be available shortly on the Investor Relations page of our website. I’ll now turn to a review of Q4 and full year financial performance. After which, Phil will review recent market developments, and Patrizio, Phil, and I will take your questions. In my remarks, I will focus mostly on the sequential quarterly change for P&L and balance sheet items, as well as full year-on-year changes, and refer you to our press release or our upcoming Form 10-K for additional information. As stated in today’s press release, Vicor recorded total revenue for the fourth quarter of $96.2 million, up 3.2% from the third quarter total of $93.2 million, and up 3.8% from the fourth quarter of 2023 total of $92.7 million. Revenues for the year ended December 31, 2024 decreased 11.4% to $359.1 million, from $405.1 million for the prior year. Advanced Products revenue increased 18% sequentially, while Brick Products revenue declined 13% from the third quarter. Revenues for Advanced Products for the year ending 2024 decreased 11.9% to $197.3 million, from $223.9 million the year before. Revenues for Brick Products for the year ending 2024 decreased 10.7% to $161.7 million, from $181.2 million the year before. Shipments to stocking distributors decreased 4% sequentially, but increased 7.6% year-over-year. Exports for the fourth quarter increased sequentially as a percentage of total revenue to approximately 56.9% from the prior quarter’s 49%. On a year-over-year basis, exports decreased as a percentage of total revenue to approximately 48.2% from the prior year’s 63.1%. For Q4, Advanced Products share of total revenue increased to 60.6%, compared to 53% for the third quarter, with Brick Products share correspondingly decreasing to 39.4% of revenue. Turning to gross margin. We recorded a consolidated gross profit margin of 52.4%, approximately 3.3% more than the prior quarter. For the full year 2024, gross margin rose by 0.7% to 51.2% from 50.6% in the prior year. The year-on-year increase in gross margin percentage was primarily due to increased royalty income and reductions in supply chain costs. I’ll now turn to Q4 operating expenses. Total operating expense, including litigation expenses, increased 2% from the third quarter. For the full year 2024, total operating expense is a percent of revenue increased to 51.6% from 37.9% in the prior year. The amounts of total equity-based compensation expense for Q4 included in cost of goods, SG&A, and R&D was $858,000, $2,106,000, and $1,093,000, respectively, totaling approximately $4.1 million. For Q4, we recorded operating income of $9.2 million, representing an operating margin of 9.6%. For the full year 2024, operating loss totaled $1.3 million, or negative 0.4% of revenue, compared to operating income of $51.4 million, or 12.7% of revenue in the prior year. Turning to income taxes. We recorded a tax provision for Q4 of approximately $1.5 million, representing an effective tax rate for the quarter of 12.9%. The tax provision for the full year 2024 was approximately $4.3 million, representing an effective tax rate for the year of 41.5%. Net income for Q4 totaled $10.2 million. GAAP diluted earnings per share was $0.23, based on a fully diluted share count of 45,296,000 shares. For the full year 2024, net income decreased to $6.1 million, from $53.6 million in the prior year. In 2024, fully diluted earnings per share decreased to $0.14 from $1.19 in the prior year. Turning to our cash flow and balance sheet. Cash and cash equivalents totaled $277.3 million in Q4. Accounts receivable net of reserves totaled $52.9 million at quarter end, with DSOs for trade receivables at 39 days. Inventories net of reserves increased 0.3% sequentially to $106 million. Annualized inventory turns were approximately flat at 1.65. Operating cash flow totaled approximately $10.1 million for the quarter. Capital expenditures for Q4 totaled $1.7 million. We ended the quarter with a construction and progress balance primarily for manufacturing equipment of approximately $8.2 million and with approximately $4.9 million remaining to be spent. I’ll now address bookings and backlog. Q4 book-to-bill improving sequentially came in above 1 and with 1-year backlog increasing 3.3% from the prior quarter closing at $155.5 million. Turning to the first quarter and the full year, 2025 is a year of uncertainty and opportunity. As of today, the year’s outcome in terms of top-line and bottom-line is subject to a relatively wide range of scenarios. Given the wide range of possible outcomes we are unable to provide quarterly guidance until we are further along resolving uncertainties and capitalizing on opportunities. With that, Phil will provide an overview of recent market developments and then Patrizio, Phil and I will take your questions. I ask that you limit yourselves to one question and a related follow-up, so that we can respond to as many of you as we have the time available. If you have more than one topic to address, please get back in the queue. Phil?
Philip Davies: Thank you, Jim. When we entered 2024, we talked about the year in terms of challenges and opportunities. As we enter a new fiscal year, a number of challenges have been overcome and we now see 2025 in terms of opportunities. The two main challenges we faced in 2024 were refining processes and scaling up capacity in our ChiP fab and protecting our intellectual property. We are pleased with the successful ramp of our new vertically integrated ChiP factory, which is now achieving the short cycle times and high-yield goals that we set, enabling a more efficient operation and improving our customer responsiveness and key performance measures. 2025 will see further progress as we build out our top 100 customer operational excellence program leveraging the new factory. The recent final determination by the ITC in our first NBM patent infringement case has resulted in exclusion and cease and desist orders, banning the importation of infringing power modules and unlicensed computer systems infringing two Vicor patents. Affected companies are taking notice of the risk of computing hardware being stranded, because of infringing NBMs and a hyperscaler has recently taken a license to Vicor’s NBM IP. While our first ITC action achieved most of its goals, foreign power module makers, certain contract manufacturers, and some of their U.S. customers are still playing a game of catch me if you can, which we will, by pursuing monetary damages and by seeking additional exclusion orders enforcing relevant patents in our comprehensive IP portfolio. Turning to our fourth quarter, our book-to-bill ratio rose above one in Q4 and with our new licensee booking its future NBM requirements in January, our high performance computing business is beginning to strengthen. On the new product front, we are laser focused on delivering our ultra-high density, high bandwidth Gen 5 VPD system to a lead customer and to leading AI and network processor companies and hyperscalers. As Patrizio commented in our press release today, perfecting our second generation VPD has taken longer than expected, with the fab out of a new ASIC raising the bar on the density and bandwidth of our current multipliers for customers who need current densities up to 5 amps per millimeter square. Our industrial and broad business remains strong with bookings from top 100 customers and strength with channel partners globally. Our ATE customers are continuing to see strong growth servicing the processor, ASIC, and memory testing needs for AI markets. A new family of factorized power chips will be sampled to these major ATE customers in Q2, further strengthening our position as a leading modular power system provider. Our aerospace and defense business maintained a double-digit growth trajectory that began 3 years ago with our top 100 accounts. Power system standardization with rack based power supplies offers further growth opportunities to Vicor for both power modules and for complete systems designed and manufactured by our subsidiaries. Opportunities in the satellite market for our factorized power radiation tolerant modules are significant and we are well positioned should favorable program award decisions occur in the second half of 2025. We closed out 2024 with continued global pipeline expansion for our automotive business and we’re now shipping into production programs. Our focus for 2025 is to bring the many OEM and Tier 1 collaborations to a design win status, setting us up for continued growth in this new business through 2027. So in closing, we are in a stronger position at the start of this year than at this time last year. No doubt there’s still challenges to be overcome but we have the determination, the staying power and the bench strength with our superior power system technology, our new ChiP fab, and our global team to achieve our North Star Financial goals of $1 billion in revenues, 65% gross margins, 2025 will be another exciting year. Thank you. So with that, we’ll now take your questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Jon Tanwanteng with CJS Securities. Your line is now open.
Jonathan Tanwanteng: Good afternoon. Thank you for taking my questions and nice quarter. I was first wondering if you could talk a little bit more about the delay you mentioned or taking longer than you expect in the VPD products. Is there a change in your expectation for when that product will ship in volume? And if so, when do you think that window might be?
Patrizio Vinciarelli: So it turns out we needed to compete in ASIC in order to achieve the performance goals and in particular, current capability, efficiency that we think are key to major penetration with our 5G product line, in particular with second generation VPD. That ASIC is coming out of fab before the end of February in the next 10 days. And we expect to be able to, in the month of March, take fast steps with respect to being in a position to provide complete high performance solution for our lead customer. And at the same time, have the possession capabilities to full performance for a broader set of customers. So, second, longer than expected to set a relevant perspective, I view this as a once in a lifetime development in terms of its significance for AI and high-end computing. And the extra time necessary to achieve the level of performance we targeted, we think is worth it. In terms of our lead customer, we are very focused on being able to support their ramping needs in the second half of this year. We think we’re going to be able to accomplish that.
Jonathan Tanwanteng: Got it. Thank you, Patrizio. Can I ask a question for your lead customer? Do they have a dual source strategy on this product where maybe on one side they use your VPD, on the other they use a traditional multiphase maybe for a different type of SKU, but with the same silicon?
Patrizio Vinciarelli: So our lead customers relied on us with respect to their exciting production requirements on earlier generation products. And I believe they’re relying on us for the foreseeable future. The level of performance they require is not achievable by any competitive alternative. The nature of the solution is highly proprietary, very extensively covered by our IP portfolio. So, we are on a sound foundation in terms of long-term collaboration with this lead customer.
Jonathan Tanwanteng: Got it. Thank you. I’ll jump back in queue.
Patrizio Vinciarelli: Thank you.
Operator: And our next question will come from Nicholas Doyle with Needham. Your line is open.
Quinn Bolton: Hey, guys. This is actually Quinn from Needham. Just wanted to ask Patrizio and Phil, congratulations on your second licensee to the patent portfolio. Wondering if you could at all give us some sense, how that might impact your future royalty revenue. I know in the third quarter of last year, you generated over $13 million in royalty income. Does this meaningfully increase the royalty revenue going forward, or would you expect your first licensee to continue to represent the majority of royalty income going forward? And then I have a follow-up.
Patrizio Vinciarelli: So all that I can tell you is that it’s a significant license, but we are constrained in terms of not being at liberty to disclose for obvious reasons, any information relating to what it would mean for us or what it means for the licensee. We obviously value our licensing relationships and want to honor commitments with respect to maintaining the nature of the relationship highly confidential. So, I can’t tell you anything beyond the fact that it’s an hyperscaler, and it’s a significant license.
Quinn Bolton: Understood the sensitivity, Patrizio, thank you for sharing what you can. Patrizio, it sounds like you also may have secured NBM product orders from this hyperscaler. I believe in the script, Phil mentioned that you received orders from this hyperscaler for NBM product in the January quarter. Can you give us any sense how meaningful those NBM orders are? I know in the press release you talked about margins going forward would depend on your ability to fill the new ChiP fab. And, I’m curious if the orders for NBMs are meaningful and could start you on your way to increasing the capacity utilization at the ChiP fab. Thank you.
Patrizio Vinciarelli: So, in general, the answer is yes. A common to me other feature of standard licensing methodology is incentives, for licensees to do business with us as a module provider. Needless to say with our fab, we have a very unique highly-proprietary capability that is getting more and more levers with advances including our 5G capability. So, all of these goes in a common denominator type of direction in terms of engaging with licensees, both as a licensor of critical intellectual property and as a supplier for major programs that enable the licensee to achieve levels of performance they can’t realize otherwise. And all of this will lead to our first fab getting filled. It is not going to happen overnight. It takes time. There is obviously gestation period associated with all of these. There is no sudden change. So, I urge us all to be realistic with respect to the timescale and expectations. But we do see our first fab with $1 billion per year in round numbers capacity getting filled before too long.
Quinn Bolton: Thank you, Patrizio.
Operator: And our next question will come from Richard Shannon with Craig-Hallum Capital. Your line is now open.
Richard Shannon: Well, great, guys, thanks for taking my question as well. Let me ask you kind of a top down question here. Jim’s prepared remarks, you talked about as you have recently about this year being one of uncertainty and opportunity. And then you also described some of the dynamics here between your AI/HPC opportunities and other markets. So, I guess, my question here is trying to get a sense of the degree to which these uncertainties are related mostly related to HPC versus other markets. Is there a heavy influence or kind of a balance between those? Just want to get a sense here given some of your remarks about non-HPC markets? Thank you.
Patrizio Vinciarelli: I think the uncertainties and opportunities for this year revolve primarily around AI and high-end computing. I think with respect to our other markets, I think there is a high degree of stability. Phil, do you want to answer?
Philip Davies: Yeah. No, I totally agree. Yeah. I mean, our automotive business is a fledgling business, so there’s just full of opportunity there. And as I talked about, our goal is conversion of the pipeline. Industrial and defense and aerospace, they’re going from strength to strength. And as I’ve mentioned before, our goal is to double those businesses and we’re in good shape to do that. So it’s about HPC and lots of opportunity there.
Patrizio Vinciarelli: Yeah. And that’s a market that where we had a big reset, right, couple of years ago, we’re rebuilding it. And, I think, we’re rebuilding it from a position of strength, not just from the IP perspective, but before too long in terms of enabling solutions that cannot otherwise be realized with our own hardware made in our fab.
Richard Shannon: Okay. I appreciate that detail. My second question is related to your second gen VPD products here. I guess it’s a two part, I guess it wasn’t clear to me whether this ASIC re-spin that you talked about is specific to the leading customer or applied to the kind of the broader portfolio across the AI space here, if you can confirm that. And then maybe just talk about kind of the pipeline here for the next set of customers, when you expect to sample and get some understanding of design wins is going to happen this year, first half, second half or just some kind of detail how that’s progressing? Thank you.
Patrizio Vinciarelli: So the new ASIC is generally applicable to all of the current multipliers that fundamentally enable the 5 amps per square millimeter capability of 5G and its VPD implementation. And it’s something that we add in the pipeline from a next development perspective that we needed to prioritize and accelerate delivery of in order to address some issues that we encountered in competing development of the current multipliers. So, we are very close to adding the device and looking forward to completing this chapter. I must say, this one building block of very comprehensive set of modules that perform in combination all the essential functions of very high performance factorized power system. Everything has gone very well with respect to other building blocks, the current multiplier from a control perspective as an issue that we needed to address.
Operator: And our next question comes from [John Dillon with DNB Capital] [ph]. Your line is open.
Unidentified Analyst: Hi, guys. Congratulations on a good quarter and a nice book-to-bill, really good to see. Patrizio, at the fireside chat, Quinn asked you if you had everything you need for a GPU manufacturer who is having heat problems. I think your answer was you think you do. And what I’m wondering is, has that customer got an insight into your second gen VPD and the new factory and what is their reaction?
Patrizio Vinciarelli: I’m afraid this is a little bit too customer-specific. I think without naming names, it would be clear with their customer is, and so, I’m going to refrain from answering your questions. But I will answer the question in more general terms. I think across all of the customers and potential customers in AI and high-end computing, I believe with second generation VPD and our 5G chipset, we have what it takes to address outstanding needs, challenges, that all of these customers face with respect to inability to deliver the cart that their ASIC would want to be able to consume, thermal management issues, noise issues, a long list of issues that conventional technology is saddled with and a factorized power system with its entry converter current multiplier addresses much more effectively. So, no commerce with respect to anyone, present customer, former customer, future customer will stick to our general practice of avoiding getting into those details. But, again, the confidence on my part with respect to getting traction across the range of customers in that space with the capability of 5G.
Unidentified Analyst: Can I ask a question a little more generally then? Are all the major GPU customers aware of your new second gen technology and have they seen your new factory and are they satisfied with what you’re doing?
Patrizio Vinciarelli: Not all of them. And as implied by earlier comments, we’ve been keeping our powder dry for two reasons. One, to make sure that we devote all the support necessary to our lead customer, but also to make sure that when we spread out to service other applications and other customers that we have completed all that we need to have in place for their scale up to be very predictable and very efficient. Phil, do you want to add anything to that?
Philip Davies: No, I think the only thing I would add would be that John, we have very clear line of sight to the target chip companies, whether it’s AI, GPU or network processor companies or hyperscalers that have programs in development. So we know when those programs are starting, what their specs are. We’ve got a very good picture view of the market. So as Patrizio said, we’re focused on our lead customer and then we’ll have the demo systems go out to a set of target follow on customers. And, I expect going from the evaluation to the design win will be fairly quick with some of them and little bit longer for others, but it depends on their new chip schedules. So it will be a mix.
Unidentified Analyst: Okay. That makes a lot of sense and I really appreciate you guys giving us those details. I’ll get back in the queue. Thank you so much.
Patrizio Vinciarelli: Thank you.
Operator: And our next question will come from Don McKenna with D.B. McKenna & Co. Your line is open.
Donald McKenna: Hey, Patrizio, again, congratulations. During the Needham Conference, you indicated that you expected 2025 to be a record year. And looking back at earnings in previous years, the high point was 126, a share in 21. Is that what you’re referring to? Is the earnings that you expected to be the record?
Patrizio Vinciarelli: I expected this year, the reasonable scenarios would be a record year for revenues and profitability.
Donald McKenna: Great. Thank you very much.
Operator: And our next question will come from Jon Tanwanteng with CJS Securities. Your line is open.
Jonathan Tanwanteng: I just wanted to follow-up on the licensing portion. You mentioned you signed a significant hyperscaler. How many more of those entities are out there of size number one that are negotiating good faith with you and contact with you? And how many are there out there that maybe are trying to avoid you and that you may have to hunt down and litigate against? And if there are a significant amount in the second part, what’s the cost going to be to do that?
Patrizio Vinciarelli: Phil has been getting phone calls. Do you want to answer this?
Philip Davies: Well, the ITC action is certainly smoking out the people that we’re hiding, that’s for sure. So I think that, yeah, I’m getting contacted now by other companies wanting to talk about licensing. So that’s a good thing and that’s what the ITC action was meant to do. I think one of the key things here is that I think when people think about this, they might think about it as adversarial, but our goal is not to have an adversarial relationship with our licensees. As Patrizio talked about, there’s a big incentive to buy modules from Vicor, not just because it helps you with the license royalty, but because it’s amazing technology and it enables new performance levels that you haven’t been able to achieve before. So as I said earlier, I think, 2025 is going to be a very exciting year.
Patrizio Vinciarelli: And to double up on that, clearly these customers or potential customers, surface carriers, other parties that have been using, buying infringing modules, they are not in effect directly responsible for things that happened without their understanding. And because of that we owe them respect with respect to ensuring that they’re dealt with fairly in the aftermath of an exclusion order. The cause of the issues rest with the infringing parties. They are the ones responsible for creating these kinds of issues and, hopefully, they will learn from this experience not to make the same kinds of mistakes in the future. And if they do, there’s going to be unfortunately more of these kinds of experiences coming that way and coming the way of their customers and their customers before too long will come to the conclusion that they can’t really rely on suppliers that copy innovative products of American innovator that are well protected by intellectual property to avoid that property being infringed.
Jonathan Tanwanteng: Got it. That’s very helpful. I was wondering if you could also update us on if there’s any viable workarounds that you’ve seen or heard about from the infringers if they’re trying to get around the path?
Patrizio Vinciarelli: Let me be categoric with respect to that. There is no NBM alternative that doesn’t infringe Vicor patents. We have not played out all the patents, but there is no viable alternative known to me. Now here, again, there are suppliers to the market that are going to customers telling them we don’t infringe Vicor IP, we know Vicor, you can buy from us without any concern. But the reality of it is that either they don’t really understand their product and the IP that covers them or they’re misleading their customers and they should know by now that that’s not a long-term win-win strategy for their relationship with their customers.
Jonathan Tanwanteng: Got it. Thank you.
Operator: And the next question comes from [Patrick Connors with Ajax Capital] [ph]. Your line is open.
Unidentified Analyst: Hi, guys. Really good quarter, really happy for you, nice book-to-bill. But I think, most importantly, so far it looks like a successful defense of your IP, which I know has been very important to you. In that context, can you describe the – I understand that your defendants have to post the bond. Can you describe the mechanics of the bond? What’s the purpose of the bond, the size of the bond, et cetera? Can you walk me through those mechanics, please?
Patrizio Vinciarelli: Yeah. So, in general terms, following the final determination, the ITC case is closed. It undergoes a mandatory 60 days’ presidential review period, the acronym which is, for the most part, that foregone conclusion that there have been few instances in which there has been a presidential veto of an exclusion order. So, we should all expect the exclusion order will go into effect 60 days from the final determination. At that point in time, infringing products cannot be imported into the U.S. But up to the expiration of the presidential review period, there is in effect a 60-day grace period within which to your point, the respondents, their customers can import infringing products in the U.S., if they post a bond. Now, the bond in this particular investigation for computing systems was set 100% of the value of the computing system. So in the case of computing system, it would be a lot of money to post a bond and that bond will not be recoverable.
Unidentified Analyst: So who post the bond? Is it the customer or is it the vendor?
Patrizio Vinciarelli: Well, I cannot help you with respect to that, but fundamentally customs will not allow the importation of an infringing product for which there is no bond through the 60-day presidential review period. At the end of that, they would simply not allow the importation of an infringing product.
Unidentified Analyst: Can I make the analogy to a bail bond, whereby it goes in forfeiture if they infringe upon your IP?
Patrizio Vinciarelli: Yes. And in fact, the complainant can recover the bond, because we are, in effect, the affected party.
Unidentified Analyst: But you just said Vicor can recover the bond?
Patrizio Vinciarelli: We could if bonds get posted. Now, we have no way of knowing what is going to happen, right? So needless to say, we are – today is 1 week from the final determination and they still a good deal of uncertainty with respect to what is actually going to happen.
Unidentified Analyst: Okay. That’s extremely helpful. Congratulations. Thank you. I’ll jump back in the queue.
Operator: And the next question comes from Richard Shannon with Craig-Hallum Capital. Your line is open.
Richard Shannon: Well, thanks guys. Let me ask a follow-up here. This is kind of taking two different comments during the call here. Phil’s prepared remarks to talk about the ramp of the chip factory with getting short cycle times that you’ve been envisioning all along here, as well as high yields. And then a response to a later question here, you’re talking about devoting all your support to a lead customer, making sure you’ve got everything in place to scale out to be predictable and efficient. So I guess my question here is, to what degree is the ChiP fab been exercised at high volumes and utilization? Can you describe or quantify the level of utilization today? And then, what do you mean by getting ready to be able to scale up predictably and efficiently?
Patrizio Vinciarelli: Yeah. So, a part of your question has to do with capacity and factory utilization. In effect, working out the narrow glitches as you bring up something as new as the first ChiP fab. The second part is really to do with the novelty of a new generation of products. So that has to do with other factors of play. Let me address the first part of the question first. So, as implied by Jim’s opening remarks, pointing to the change in mix within last quarter toward Advanced Products. You should assume that those Advanced Products, they’re all made in our ChiP fab. So, within the last year and particularly getting into the fourth quarter, we’ve been scaling up its capacity. We, all of us review every Thursday morning a bar chart showing the progression of chips made with what we call, 3DI or three-dimensional interconnect, which are some of the core fab processes. And that bar chart has been stepping up at a nice space in every period segment within the year. So good progress there. And again to your point, it relates to related metrics, right? It’s not just capacity, it’s cycle time, it feels, they all play together. You need them to support each other in accomplishing the overall goal. So, we’ve been able to enjoy, we’re able to make chips in a pinch if there is a very high priority in as little soup to nut, in as little as 10 days, which is a tiny little fraction of the time it used to take to complete the corresponding task 2 years ago, very small fraction of the time. And with respect to devices that are in mass production in new fab, we have fab test yields of 96%. So, those are measures of progress with respect to the capability of the processes implemented in the new factor. With respect to the second part of your question, capability in the deployment of a new generation of products relates to having everything in place to enable solutions that can take on different forms in terms of current requirement, multiplicity of rails in different customer applications. It’s more than adding the core modules and core capability, it’s saving the complete understanding of how to adapt system solutions to a particular set of requirements, which would be different from customer to customer, application to application. And that’s where we’ve been through a few other actions of our demo system capability. I think we are on the turnaround and it’s gotten to a level of maturity that with respect to all the building blocks will showcase the performance that we think will bring about predictable adoption by customers other than our lead.
Richard Shannon: Okay. I appreciate all the detail there. Very interesting, Patrizio. My follow-on question here is related to kind of thinking towards the endpoint of your ITC case. Obviously, these patents were directed specifically at your NBM products here. And, obviously, good to see a successful outcome here. I guess wondering not only the conversations about licensing related to NBM, so to what degree are these conversations having or intending by you to also involve your point-of-load products as well? Thank you.
Patrizio Vinciarelli: So with different licensees, the focus is different. And so we have, in particular, what we call an OEM license, which gives access to all our IP. The licensee decides what particular capabilities to license, but they encompass the entire fab portfolio and that spans the gamut from the first stage of a two-stage point-of-load solution or it could be a factorized power system or a point-of-load device. Our first non-OEM licensee as a narrow license, the specific to NBMs. So going forward, we expect to have a mix of different scenarios. But, generally speaking, we favor OEMs getting full access for their outsourcing [ph] requirements, for their capacity requirements to in effect take risk out of the supply chain, which recent events underscore can otherwise be a serious issue. And to be clear, in regards to our first ITC case, I want to be clear about the fact that litigation is never a perfect process, right? It’s full of uncertainties. People have to make critical decisions with some of limited visibility and they need to do so with critical timelines and under a certain level of pressure. To be sure, we didn’t get 100% that we’re looking for, but it’s been successful. And, as I look at it in terms of the overall strategy, it accomplished its mission as a first demonstration of the risks inherent in foreign suppliers that have had a practice of just copying and taking their chances with respect to what might happen with the legal system. I think more the kind of lessons we have just had, maybe necessary to get the industry to respect IP as it should be for all that it’s worth, right, in terms of fostering innovation, fostering investment in the advance of technology. It shouldn’t be that a company does the heavy lifting and others copy what the company does. That’s not the right solution to the industry needs.
Richard Shannon: Great. Thank you, guys.
Operator: And the next question comes from Nicholas Doyle with Needham. Your line is open.
Quinn Bolton: Hey, guys. Just a couple of quick follow-ups. For the hyperscaler licensee, Patrizio, is that only pertinent to NBMs from Delta or other respondents or does it cover any NBM module imported by that hyperscaler?
Patrizio Vinciarelli: It is any NBM module from any source.
Quinn Bolton: Perfect. And then maybe for Jim or Phil, I think you said the prepared script Advanced Products were up 18% sequentially. Just wondering if you could give us a sense what drove that strength? Was it mostly the industrial, A and D segments? Did you see growth in AI or HPC customers? Just any color you could give would be appreciated. Thank you.
Philip Davies: Yeah, Quinn, it was mostly HPC pickup, but also we saw growth in industrial Advanced Products and also aerospace and defense, but primarily HPC.
Quinn Bolton: Thanks.
Operator: And the next question comes from [John Dillon with DNB Capital] [ph]. Your line is open.
Unidentified Analyst: Hi, Patrizio, earlier you mentioned that the new factory should be filled pretty quickly. So, I’m wondering, are you in the early stages of planning a new factory and what kind of timeframe. And will that be a Vicor factory or a licensee factory?
Patrizio Vinciarelli: Yeah, John, so I mentioned earlier that we should be realistic about the gestation time of all these developments, right? We’re going to be filling the factory this year to be clear. So, it would be premature at this point to go out on a limb with respect to the next factory. But, I think, it’s fair to say that we understand what needs to be done there. We’ve done some planning with respect to what it would take. There are scenarios as we get into next year, there could be a need depending on what happens in terms of adoption of second generation VPD. And as you heard me say before, it is going to be a lot easier to build the next fab having accomplished completion of the first. So, we’re still very focused on the first, making sure that everything is as good as it should be with it. Again, continue to reduce cycle time, improve yields, getting it filled, which will take time, right? It won’t happen this year. But the good news is that replicating and scaling up the capacity, assuming as they do that we’re going to get great traction with our second gen VPD and 5G product capability in general, which is by the way not limited to point-of-load applications, right? It’s not just for AI, it is also for industrial products, it’s for automotive products. So, the market opportunity there is quite broad. And with that broad market opportunity, there will be a need for more capacity and more fabs and those may come about under different scenarios involving potential partnerships within Vicor and other partners.
Unidentified Analyst: Excellent. And thank you very much for that detail. And my other question, I’m not sure if I missed this or not, but did you mention have you bought back any more of your stock in the fourth quarter?
James Schmidt: A very small amount, John. The threshold wasn’t happily, the threshold wasn’t hit often for the buyback to kick in. So…
Unidentified Analyst: And are there any plans going forward?
James Schmidt: I would say, we’ll consider it again. I’m sure Patrizio will make a decision on that. But, at this point, we still learn a good rate of return on our money market fund. And we have the resources now as a company to really go forward and the investment necessary in capital is really declining now. Also, when I think about the factory, I think about loading and the leverage we’re going to get just with this factory operating extremely efficiently. It’s going to be a beautiful thing as the loading comes in.
Unidentified Analyst: Yeah, I would imagine with the quick turns, you can really increase your cash flow talking about what you just said.
James Schmidt: Right.
Unidentified Analyst: Excellent. Okay. Thanks so much, guys.
James Schmidt: Thank you.
Operator: Thank you. This concludes the Q&A session and the call. And thank you for your participation. And you may now disconnect.
Patrizio Vinciarelli: Thank you.
James Schmidt: Thank you.